Operator: Good day, and welcome to the CV Sciences, Inc. Third Quarter 2023 Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to CV Sciences. Please go ahead.
Brendan Hawkins: Thank you, and good morning, everyone. With us today with prepared remarks are CV Sciences' Chief Executive Officer, Joseph Dowling; and Joerg Grasser, Chief Financial Officer. After prepared remarks, we will take questions from the analyst community. I would like to remind you that during this call, management's prepared remarks may contain forward-looking statements. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those anticipated by CV Sciences at this time. When used in this call, the words anticipate, should, could, estimate, intend, expect, believe, potential, will, project and similar expressions as they relate to CV Sciences are as such forward-looking statements. Finally, please note that on today's call, management will refer to non-GAAP financial measures in which CV Sciences excludes certain expenses from its GAAP financial results. Please refer to CV Sciences' press release from earlier today for a full reconciliation of its non-GAAP performance measures to the most comparable GAAP financial measures. This morning, the company issued a press release announcing its financial results. Participants on this call who may not have already done so, may wish to look at the press release as the company provides a summary of the results on this call. The press release may be found at cvsciences.com. I'd like to now turn the call over to CV Sciences' Chief Executive Officer, Mr. Joseph Dowling. Joe?
Joseph Dowling: Good morning, everyone. Thank you for joining our call. This morning, we issued a press release reporting results for our third quarter ended September 30, 2023. We are very pleased with our Q3 results as we continue to move towards a profitable and positive cash flow operation. Significant financial highlights during Q3 included: we increased our revenue to $4.1 million for the third quarter 2023, which is both a sequential and year-over-year increase in a very competitive environment where many of our competitors are experiencing significant revenue declines. We achieved a gross margin of 45.1% in the third quarter, which is again both a sequential and year-over-year increase. For the 9 months ended -- of 2023 -- for the first 9 months of 2023, we generated cash flow from operations of $2.4 million, which included the collection of $2.5 million of governmental tax credits. Nevertheless, it is a huge improvement when compared to cash used in operations of $2.1 million for the first 9 months of 2022. We continue to have a balanced mix of B2B and B2C revenue, and maintained our number one position in the natural products retail channel. We are increasing our market share in the natural product retail channel while brand contraction and consolidation continue to weed out weaker brands. We are aggressively managing working capital to ensure timely conversion of our receivables and inventory to cash. And our cost efficiency efforts continue to result in a lower overall company cost structure with efficiency gains and cash savings in several areas, including SG&A. Joerg will provide details on each of these areas during his remarks. Our Q3 financial highlights illustrate the tremendous progress that we have made to achieve profitability and positive cash flow. We have strengthened our operations and positioned the company to pursue and leverage both organic and M&A growth opportunities. Our asset-light business model is well-positioned to take advantage of an industry that is contracting and maturing requiring greater professional capability and trustworthiness. Q3 was a continuation of the diligent work of our team as we continue to see the positive financial impact of several years of hard work in properly scaling the company, putting us in a position to leverage the strength of our assets, including our B2B and B2C distribution, our flagship PlusCBD brand and the quality of our employees. On the revenue side, our short-term goal continues to be to get the company back to a $5 million plus third quarter revenue run rate and much higher. During Q3, we continue to make progress in overcoming the supply chain issues we experienced during 2022. Brand contraction in all B2B sales channel is continuing as retailers are working through old inventory and removing slow-moving brands. As I mentioned, we are the number one selling brand in the natural product retail channel, and we continue to see market gains for CV Sciences and our flagship brand, PlusCBD. Customers are loyal to brands they trust, and we continue to see movement to our PlusCBD brand, which continues to be at the top of the list in the important natural product retail channel. Our B2C sales channel continues to improve. Our B2C infrastructure is scalable and can support nearly unlimited traffic and activity. On a daily basis, our team works to optimize our merchandising and marketing efforts to optimize our ROI and to ensure that we are achieving our return on ad spend targets. We are seeing results in all critical B2C KPIs, including visitors despite much lower digital marketing spend. Brand contraction, increased education and consumer trust will all help grow the B2C channel, and we are prepared to grow the channel and take market share as the category contracts and evolves. We believe our B2B and B2C channels work closely together as our customers often learn about or even try our products from a B2B retailer and then over time, transition to a B2C customer. The strength of our combined B2B and B2C distribution is a key asset and strategic consideration in our M&A strategy, which I will discuss in a few minutes. Product development will continue to be important for our growth strategy. We know that consumers are looking for high-quality and trusted brands like ours PlusCBD product that can address specific need states. We continue to address this trend and plan to launch new products similar to our wellness line, including our Sleep, Calm and Relief products, and our over-the-counter topical line. Earlier this year, we launched our innovative Reserve line to extremely favorable customer reviews and demand. We will continue to innovate and launch new products that are responsive to our customers and their specific needs, including for anxiety, pain and sleep disorders. We believe that strong science supports our product claims and will win the trust and loyalty of our existing and new customers. On regulatory matters, we remain active with the U.S. Hemp Roundtable and other advocacy groups to provide Congress and the FDA with data and the information needed to advance sensible legislation for the hemp industry. As discussed during our Q2 2023 earnings call, a recent subcommittee hearing of the House Oversight Committee included strong testimony regarding CBD safety along with regulatory recommendations from industry experts to advocate for FDA and Congress to regulate CBD as a dietary supplement and food and beverage additive. We strongly agree with this recommendation and believe that current regulations governing dietary supplements are the starting point to establish a regulatory framework for the CBD industry. The absence of federal regulation continues to be a challenge. This void has led many states to enact regulations that are extremely challenging and costly for companies to comply with. This has led to confusion for both retailers and consumers. Inaction by FDA and Congress is frustrating, but we will continue our active involvement at both the federal and state level, and will remain persistent in pushing Congress and FDA to make progress. We all know that a sensible regulatory framework will significantly benefit our industry and consumers and will create an environment where quality companies and products can be trusted to grow the category responsibly. Before I turn the call over to Joerg to discuss our financials, I want to briefly discuss our M&A strategy to help grow the company and increase shareholder value. Our company has numerous strengths and assets that can be leveraged much further. This includes our B2B and B2C distribution, the strength of our flagship brand PlusCBD, our scalable infrastructure in systems and process, and most important, the talent and expertise of our employees. We are transitioning to become a global health and wellness company that will not only participate in the CBD category, but also leverage our strengths to pursue non-CBD nutraceuticals and other plant-based food products. Over the last several quarters, we have discussed our participation in select M&A opportunities. As part of this process, we have evaluated numerous opportunities that would allow us to leverage our strength and assets that I just described. We are being extremely selective, making sure that anything we do must be a good strategic fit with favorable economics to our shareholders. With that context, I am pleased to announce that we have executed a nonbinding letter of intent to acquire a plant-based food company in Europe. Closing of this important strategic acquisition is expected to occur before the end of the year. The challenges in our industry continue, but we are well positioned with an efficient business model and operating structure. We continue to streamline operation, increase cost efficiency and are positioned to leverage our company's assets and strengths, both organically and through our M&A strategy. We are moving towards profitability and cash flow positive in the near term because of tough decisions that we have made over the last several years. Let me pause now, and I will turn the call over to Joerg.
Joerg Grasser: Thank you, Joe, and also good morning to everyone. During the third quarter, we saw the results of several of our key initiatives, which we talked about in previous earnings calls. We realized top line revenue growth in a very competitive market where most of our competitors are experiencing sales declines and we continue to see a positive financial impact of our cost-efficiency measures across all functional areas of the company. Over the last several years, we have significantly reduced our cost structure without significant productivity losses. And we are well positioned for operating leverage as we continue to increase revenue, all with the main goal of creating shareholder value. Our third quarter revenue increased by 9% to $4.1 million compared to $3.8 million in the third quarter of 2022 and sequentially by 3% from the second quarter of 2023. The year-over-year increase is mostly due to higher sales volume of 6.1% and higher average sales prices per unit of 3.2%. We were able to take market share from our competitors across all of our sales channels. Our new product introductions were successful and our team is doing a nice job on executing on our go-to-market strategy. New products introduced since the beginning of 2022 represented 36.4% of our Q3 2023 revenues, which shows the importance of new product innovation. Overall CBD market continues to be fragmented and very competitive. We don't see this changing anytime soon, but we see further brand consolidation and brand contraction, which are opportunities to continue to increase our market share and increase our revenue base. Our direct-to-consumer business continued to perform well with modest digital marketing spend and associated sales represented 40.9% of total revenue in the third quarter compared to 43.8% a year earlier and 42.3% in the second quarter of 2023. Our B2C revenue grew by 2% on a year-over-year basis as our team made solid improvements to our main digital KPIs. We were able to continue to increase our business to our website on a sequential basis despite lower paid advertisement spend. Our e-commerce team also made good improvements to our subscription and loyalty programs and increase our overall customer base, all good signs for further revenue growth in this channel. Gross margin for the third quarter of 2023 was 45.1%, our best gross margin in the last 8 quarters. We recognized gross margin of 41.6% in the third quarter of 2022 and 43.3% in the second quarter of 2023. The improvement in gross margin compared to the prior year is mostly due to reduced shipping and fulfillment costs, lower overall overhead as well as higher average sale prices. We are working on further cost efficiencies in order to continue to improve our gross margin. SG&A expense for the third quarter was $2.2 million, down from $2.4 million a year ago. These improvements are a direct result of our ongoing efforts to reduce our overall cost structure. We have taken cost out from all areas of our business and continue to do so in order to generate positive cash flows. For the third quarter 2023, we generated an operating loss of $0.4 million compared to an operating loss of $0.9 million a year ago. Our adjusted EBITDA loss for the third quarter was also $0.4 million compared to $1.2 million in the third quarter of 2022. The improved operating performance and adjusted EBITDA loss is the result of our asset-light business model, which allowed us to implement cost savings throughout the organization to minimize our cash outflow. On a GAAP basis, we reported a third quarter 2023 net loss of $0.4 million compared to a net loss of $1 million in the third quarter of 2022. Now let me turn to our balance sheet. We continue to manage our cash position very carefully and ended the third quarter of 2023 with $1.6 million of cash compared to $0.6 million at the end of fiscal 2022. Cash generated by operations during the first 9 months of 2023 was $2.4 million, a significant improvement from the same period a year ago, which had cash usage of $2.1 million. The improvement in our operating cash are mostly due to the receipt of ERC fund of $2.5 million and lower cost of operations. Excluding the ERC fund, our cash flow from operations is essentially breakeven. During the third quarter of 2023, we used a modest amount of $19,000 in operating cash. We continue to aggressively manage our overall cash position with improved cash collections on our outstanding AR and daily management of our inventory and vendor payables. We continue to adjust our cost structure to be in line with our expected revenue, both overarching goal of generating positive operating cash on a continuous basis. Our inventory was $5.7 million at the end of the quarter compared to $6.6 million at the end of the year as we continue to focus on efficient cash management and converting our raw materials into cash. Our raw materials mostly consists of hemp oil, which we previously purchased and continue to convert into finished products. Our raw material balance has decreased from $3.6 million at year-end to $2.9 million as of September 30, 2023. Also, in April 2023, we extinguished our note payable with Streeterville, and are now essentially debt-free. In addition, we have working capital of $2.4 million. With our improved balance sheet and our reduced cost structure in place, we have the financial flexibility to continue executing our plan and look forward to improving trends as the year unfolds. Now, I'll turn the call back over to Joe.
Joseph Dowling: Joerg, thank you. As Joerg and I have discussed this morning, in spite of the challenging environment, we will continue to move the company to profitability and positive cash flow in the near term. Our Q3 results show progress not only in growing revenue but doing so profitably. The contraction and consolidation of our industry continues to be a positive trend as the number of brands and products on shelf and online both declining significantly, allowing us to increase market share in both B2B and B2C channels. As I mentioned in my earlier remarks, we are doing everything possible to advance sensible regulation at both the state and federal level. We are working closely with our industry peers and advocacy groups to bring a unified voice to Congress and FDA. Our drug development program in treatment of smokeless tobacco use and addiction remains a valuable asset of the company, with patent already granted in the United States, Canada, Australia, Japan and 6 EU countries. We continue to believe that this drug development program has significant value. And even though we have paused development of this program internally, we continue to see collaboration partners on this program. We are excited about the short- and long-term opportunity for our company, the CBD category and the global health and wellness opportunity that we are pursuing as part of our M&A strategy. We are working through the final details of the M&A transaction I mentioned earlier in my remarks and are looking to close before the end of the year. We are continuing to look at other domestic M&A opportunities and select international opportunities. We are making continuous improvement to ensure that we are scaled properly, operating efficiently and are focused on adding long-term shareholder value. We will continue to focus on our customers, retail partners and new product and market development as we continue to position the company for long-term success. Thank you very much for listening this morning. I will now turn the call back over to the operator for any calls from the analyst community.
Operator:
Joseph Dowling: Thank you. I would like to thank everyone for being a supporter of CV Sciences and our great team and products. We look forward to speaking again soon. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.